Nik Kershaw: Hi. Good afternoon and good morning, everyone, and welcome to VEON's first quarter results presentation for the period ending 31 March 2023. I'm Nik Kershaw, VEON Group's Head of Investor Relations. I'm pleased to be joined on the line today by Kaan Terzioglu, our Group CEO; along with our group CFO, Joop Brakenhoff. Today's presentation will begin with the key highlights and business update from Kaan. Following this, Joop will discuss the trading results. We'll then hand it back to Kaan to discuss our outlook and priorities for 2023. As ever, we will ensure that there's ample time for your questions at the end of the presentation and would ask that you submit your questions via Zoom.
 Before getting started, I'd like to remind you that we may make forward-looking statements during today's presentation, which involve certain risks and uncertainties. These statements relate in part to the company's anticipated performance and guidance for 2023, future market developments and trends, operational and network development and network investments and the company's ability to realize its targets and commercial and strategic initiatives, including current and future transactions. Certain factors may cause the actual results to differ materially from those in the forward-looking statements, including the risks detailed in the company's annual report on Form 20-F and other recent public filings made by the company with the SEC.
 The trading update and presentation, each of which include reconciliations of non-IFRS measures presented today can be downloaded from our website.
 With that, let me hand over to Kaan. 
Muhterem Terzioglu: Thanks, Nik. Good morning, good afternoon, everybody. Thank you very much for joining us today as we present our first quarter results for 2023. 2023 marks a year of transition for VEON, and our first quarter results demonstrate our effective execution as well as the exciting growth potential that our Digital Operator business model holds. Over the following slides, I will go in detail about the results we have achieved by focusing on delivering world-class connectivity combined with high-quality digital services in markets with attractive growth fundamentals.
 Before we get into the presentation, I would like to thank our Ukrainian team for their work, keeping Ukraine and Ukrainians connected, our team at large for driving VEON forward as well as our investors for their continued trust and confidence in our business. Now let's look at our key performance highlights for the first quarter.
 As we started 2023, VEON delivered another quarter of double-digit local currency growth in both revenue and EBITDA. Our top line grew 15.3% in local currency terms. Service revenues rose even faster, with 15.9% year-on-year growth. Group EBITDA was up 11.2% year-on-year in the first quarter, slightly over the top of the guidance of 10% to 14% growth for top line and EBITDA. If you would exclude Kyivstar's performance from beyond group first quarter results considering the unique circumstances the country is in, the revenues were up 19% year-on-year, and EBITDA rose by 17.6% year-on-year. Over a 2-year period, we have seen now local currency revenues increasing 30%, and local currency EBITDA is up 19.8%. VEON maintained its healthy liquidity position, and the group reported cash and cash equivalents total...
 [Technical Difficulty]
 Looking into our revenue performance in greater detail here. I have -- we have delivered 5 consecutive quarters of double-digit local currency revenue growth, accelerating our pace to above 15% in the last 2 quarters. Kyivstar continues to be a growth company, despite all the odds, while continuing to serve Ukraine with remarkable dedication. Powered by our Digital Operator strategy, our other operations, shown in the green line, have not just delivered double-digit growth, but have significantly and consistently increased the pace of local currency revenue growth to reach 19%. We have also seen a strong start to the second quarter. And in April, local currency revenues were up 20.1% year-on-year, and EBITDA was up 25.8%.
 I think it is also important to note that the change in our footprint has made the seasonality more noticeable, particularly around religious holidays in our Muslim countries. Our operational execution goes hand-in-hand with disciplined financial management. And on this slide, I want to go over recent key achievements on our liquidity management front.
 We are pleased that all necessary licenses for the scheme were received and VEON's 2023 notes have been amended. Maturity dates for the February and April '23 notes have been amended to October '23 and December '23, respectively. Already, a significant number of our bondholders have exercised the put option, and this process is also now successfully completed with the finalization of the payments. The successful implementation of the Scheme of Arrangement of our '23 notes has enabled VEON to reduce the risk of double payments on these notes by extending the maturities beyond the intended closing date of the Russia transaction, as Reuters reported today. This is also why I'm not worried about the June 1 date for closing, and we have ample amount of time to close this deal.
 Let's go to next slide. I will go over some group-level operational highlights before getting into more detail in the country-by-country review. In quarter 1, VEON accelerated the execution of our digital strategy, which translated into positive trends across several key operating metrics. Our total subscriber base reached 158 million, while 4G users increased 18% year-on-year to reach 88 million. 4G users now account for 56% of our subscriber base. We have added nearly 50 million 4G users since quarter 1 of 2020 when we announced our focus on 4G For All. During this period, we have more than doubled our 4G penetration from 27% to 56% on a healthy path to our 70% target.
 Along with high-quality 4G connectivity, our customers also increasingly choose to take advantage of our digital products. Multiplay customers who use both 4G connectivity and digital products spend more time with us, they choose us over to competition and drive higher revenue generation. This trend helped to drive mobile ARPU growth, ranging from 7.6% to 18.3% year-on-year in local currency across our markets. Our data and digital revenues rose 25.5%, excluding Ukraine, and were up by 18% year-on-year for the whole group in local currency. Let's move to Slide 10.
 Here, we have an overview of the performance of VEON's operating companies. In Ukraine, Kyivstar continued to deliver local currency growth, despite the very difficult operating conditions. Across our 5 Central and South Asian markets, VEON once again delivered double-digit local currency growth, with 4 of the 5 markets also recording double-digit local currency increase in EBITDA as well as in revenues. Looking at the month of April, we have seen double-digit local currency revenue growth across all our markets, including Ukraine, with local currency group EBITDA up above 20% year-on-year. We will now discuss the specific performance in each of our markets.
 Kyivstar first. As Ukraine's #1 mobile operator, Kyivstar, continues to lead the resilience of the mobile industry in the face of the ongoing conflict. Kyivstar continued to keep nearly 91% of radio area network operational at the end of March, serving millions of users with high-quality connectivity services in and outside of Ukraine. CapEx in Ukraine rose 18.4% as Kyivstar continued to support essential connectivity in Ukraine and maintain business resilience. Given the continuous challenges faced with power infrastructure and energy rationing, the Kyivstar team has accelerated investment aiming to provide base stations with the modern power solutions for storage and generation to sustain network availability during power outages.
 On top of maintaining existing infrastructure, Kyivstar has successfully increased 4G penetration via its 4G Everywhere program, connecting more than 81 new settlements to the 4G network. These efforts have helped increase the number of 4G users to 13.3 million in the first quarter, which represents 55% of Kyivstar's user base. In quarter 1, 1.2 million Kyivstar customers outside of Ukraine used roam-like home offer, keeping them connected with their families in and outside of the country. With this operational performance, Kyivstar has delivered another quarter of revenue growth, up 6% year-on-year, while EBITDA rose 1%. This was despite the 34% year-on-year increase in electricity prices and 52% year-on-year in fuel prices. Kyivstar continues its support for charitable causes and employee and customer support, allocating UAH 1.8 billion since the start of the conflict.
 Let me talk a little bit about our largest digital health care platform in Ukraine, Helsi. Kyivstar continues to serve its customers by making vital services accessible on digital platforms. Helsi, Kyivstar's digital health care platform serves 25 million users with reliable medical advice and access to 33,000 doctors and specialists across 1,500 health care institutions. In the first quarter of '23, Helsi users booked and attended 1.8 million appointments digitally. This is up from 1.6 million in the fourth quarter of '22. Let's go to Pakistan.
 Jazz, our operating company in Pakistan, recorded a strong set of numbers, with both revenue and EBITDA rising at a double-digit pace, up 16% and 12% year-on-year. In Pakistan, all operators faced challenges on the investments due to the macroeconomic challenges and the associated restrictions introduced by the Central Bank, limiting the importation of goods into the country. While Jazz's CapEx declined by 75% year-on-year, the expansion and upgrading of the network continued, with almost 1,100 new 4G sites year-on-year.
 Jazz continued to gain market share in the first quarter of 2023, with 4G penetration rising to 58% of the user base and totaling 43.1 million 4G users. 4G user growth, combined with Jazz's Digital Operator offerings, translated to a 27.5% year-on-year rise in multiplay users, who accounted for 23% of the user base and 46% of subscriber revenues. Rising 4G and multiplay users, data and digital revenues were up by 21% year-on-year. Jazz's portfolio of digital services recorded also strong growth. The service revenue for our fintech offerings, Mobilink Bank and JazzCash, rose 71% and 65% year-on-year, respectively.
 Let me share some additional details on JazzCash, which is an important driver of financial inclusion in Pakistan. JazzCash has over 14.6 million monthly active users and a network of 179,000 merchants. 1.4 million active users of JazzCash are frequent consumers of micro loans, a 39% year-on-year increase, with an almost doubling in average loan size to INR 3,000. Over the last 12 months, JazzCash has processed 2 billion transactions with a total value of INR 4.5 trillion, an increase of 30% year-on-year. We processed more than 5 million transactions every single day in the quarter, and the total value of transactions processed over the last 12 months corresponded to approximately 6.7% of Pakistan's gross domestic product.
 Tamasha, Pakistan's leading entertainment platform. During the month of Ramadan, Tamasha introduced the very first Tamasha original, an 8-episode long TV series titled Family Business, generating over 2 million views. This contributed to the accelerated growth of Tamasha's multi-active user base, up fivefold year-on-year to 5.6 million, and daily watch time of active users rose to 30 minutes, up to 2.4x year-on-year. Tamasha users who are also Jazz connectivity customers had ARPU levels that are 2.5x higher than the average ARPU. Let's move to Kazakhstan. 
 Beeline Kazakhstan is approaching 3 consecutive years of market share gains, and quarter 1 marks its second full year of above 20% top line revenue growth. Total revenues grew 23% year-on-year, with service revenues up by 24.6%. Adjusting for a one-off related to a charitable donation in quarter 1 last year, Beeline Kazakhstan EBITDA grew by 29.4% year-on-year. The quarter 1 performance was driven largely by data and digital revenues, which were up by 29.1%, thanks to the higher users of digital applications and increasing numbers of multiplay users. 39% of our monthly active users in Kazakhstan are multiplay users, using both our connectivity and digital services, accounts for 54% of subscriber revenues. Beeline Kazakhstan has the highest 4G penetration level in VEON Group, with 69% of users accessing high-speed mobile Internet. This puts Kazakhstan on the verge of approaching our group target of 70% penetration. On the next few slides, I will share some further insights into our digital products in Kazakhstan.
 Simply is Kazakhstan's only branchless neobank. Simply, the first neobank in Kazakhstan was launched in June '21, has 234,000 monthly active users in the first quarter, up by 90% year-on-year. It processed 33 million transactions with a gross transaction value of KZT 224 billion over the last 12 months. Furthermore, Simply has an agreement with Visa to issue full digital Visa Platinum cards, one of the unique global cases among telcos. The service is available for both Beelineresult and competitor subscribers. Beeline Kazakhstan's financial services includes nano lending, purchases in Google Play and Apple Store paid directly from the Beeline mobile account through direct consumer billing and online payments for public and popular services, including urban city transportation.
 Let's go to BeeTV, our entertainment platform, which is another pillar of our digital offering in Kazakhstan. The streaming service, which has both mobile and IPTV offerings, has 720,000 monthly active users in the first quarter. Beeline Kazakhstan has been supporting tennis for 15 years by sponsoring the National Tennis Federation. In quarter 1, users of BeeTV could enjoy live streaming of matches from the ITF Women's World Tennis Tournament hosted in Astana, with 3.8 million online views of the matches. Daily watch time per user on the mobile platform rose 11% year-on-year to 145 minutes, including small and large screen mobile devices and smart TV applications.
 Let's talk also about Kazakhstan's first digital-only operator, Izi. Today, there are 362,000 users of Izi app. And of these, 173,000 have also chosen to make Izi SIM card, allowing access to mobile voice and data services. Izi offers not only mobile voice and data services, but is a leading entertainment application that users can listen to radio, play games, watch movies even if they don't have an Izi SIM yet. The Izi app users increased 4.7-fold, adding 286,000 monthly active users in the last 12 months.
 Moving on to Bangladesh. Banglalink reported its fourth consecutive quarter of double-digit year-on-year revenue growth, accelerating to 17.7% in quarter 1 as we continue to gain market share. EBITDA in the first quarter also returned to growth, rising 11.7% year-on-year. This was the result of higher revenues and strong focus on cost discipline, despite the negative impact of higher electricity and fuel costs. Banglalink increased its subscriber base by 7.7% year-on-year in the first quarter, with 38.7 million customers at the end of March.
 The network investment has enabled Banglalink to increase 4G subscriber penetration, with 17.4 million 4G users, representing 45% penetration in quarter 1, up from 35% a year ago this time. Banglalink's growth was further supported by the success of its digital products. On the next slide, I will elaborate on Toffee, the country's leading entertainment platform. Toffee is the largest mobile entertainment platform in Bangladesh. Toffee reported record user numbers in the fourth quarter of 2022 when we were streaming World Cup games live for customers in Bangladesh.
 In quarter 1, the solid performance continued, with 11.7 million monthly active users and 2 million daily active users, up by 84% and 96% year-on-year, respectively. With a variety of streaming content available, the daily average watch time per user was 11 minutes in quarter 1, and we continue to unlock value through new premium offerings to Toffee users.
 Beeline Uzbekistan delivered 24% year-on-year top line growth, with fifth consecutive quarter above 20% performance. EBITDA rose 9.7% year-on-year, which is solid performance as Beeline Uzbekistan continued to invest in future expansion. CapEx was up 54% year-on-year at UZS 87 billion in the first quarter as we continue to invest in the 4G network and contribute to further development of country's digital infrastructure. Our 4G rollout is delivering results, with 4G subscribers rising to 5.7 million and reaching 68% penetration in Beeline Uzbekistan's total subscriber base. In line with our Digital Operator strategy, multiplay customers increased to 36% of total subscriber base and accounted for 57% of subscriber revenues in quarter 1. Our data and digital revenues were up by 27.3%.
 Before wrapping up with Uzbekistan, I would like to highlight that in April, we incorporated an adtech company, VEON AdTech, with cutting and edge targeting -- targeted and advertising technology with its headquarters in Tashkent, which will work with VEON's digital operators and support the VEON group in providing highly targeted digital marketing services. VEON AdTech will be providing and contributing to IT export potential of Uzbekistan in the high-tech part.
 Let's go over our self-care platforms across the group. Here, we see growing number of monthly active users of our self-care platforms across our countries. It is encouraging to note that ARPU for self-care users are higher, typically 1.5x the ARPU of an average user. In addition to other benefits, these applications provide as gateway or services, top-up mechanisms and increasing the important customer care channel. Let me pause here, hand the call over to Joop to discuss our quarter 1 financial results in more detail. Joop? 
Joop Brakenhoff: Thanks, Kaan. Good morning and good afternoon to all participants. On the following slides, I will elaborate on the financial highlights for our first quarter results in more detail. The reclassification of the Russian operations as held for sale and discontinued operations that took place in the fourth quarter of 2022, reduces the group's reported revenue and EBITDA in absolute terms.
 This means that VEON is now a very different company. And quarter 1 marked another quarter of double-digit local currency growth in both revenues, which were up 15.3% year-on-year and EBITDA, which rose 11.2% year-on-year. As we move towards completion of the sale of the Russian business, we continued to maintain a very strong liquidity position at the end of March 2023. The $3 billion of cash and cash equivalents grew, of which USD 2.5 million held at quarter level. I want to first cover revenues on Slide 26.
 We delivered balanced growth across our countries as we executed on inflationary pricing while growing our pace of 4G and multiplay customers. Kazakhstan, Uzbekistan, Kyrgyzstan, Bangladesh and Pakistan, all delivered another quarter of double-digit growth as they successfully executed on their Digital Operator strategies. In Ukraine, we once again want to express our respect and admiration for the team at Kyivstar who delivered 6% year-on-year growth in quarter 1, despite the challenging operating environment. Kazakhstan and Uzbekistan both reported year-on-year revenue growth above 20% as higher 4G user penetration and our Digital Operator offerings led to growing mobile data usage. 
 In Pakistan, revenues were up by 16% year-on-year, driven by a combination of inflationary pricing and successful execution of our Digital Operator offerings. Quarter 1 revenue performance was further strengthened by our financial service offering. Service revenues from JazzCash rose 65.3% year-on-year, while Mobilink Microfinance Bank delivered a 71% year-on-year increase. We also saw good momentum across most of our markets in terms of underlying EBITDA, which I will cover on the next slide.
 VEON's local currency EBITDA rose by 11.2% year-on-year in the first quarter. We achieved this result despite the impact of a 41% year-on-year rise in energy costs for the group. Electricity and fuel accounted for 90% of total OpEx versus 60% a year ago. Excluding the one-off impact in Kazakhstan that Kaan has covered in his section, the underlying performance was still strong, with lower group EBITDA by 10.1% year-on-year.
 We remain focused on implementing positivity measures across the group. Also on 28, we can look at some important balance sheet metrics. Looking at our debt profile, we're seeing a material decrease in group debt levels because of the reclassification of $1.6 million of VEON Holdings that were repurchased by PJSC VimpelCom Russia to VimpelCom Limited. This is reflected in the significant increases in leverage ratios, both including and excluding this, which you can see are now at 1.6x and 1.3x that were given. Gross debt and net debt also declined by 23.6% and 40.0%, respectively, versus year-end 2022.
 As mentioned earlier, our liquidity position remains strong, with cash and cash equivalents totaling $3 billion, with $2.5 billion held the HQ level. At the ruble country level, VEON's operations are largely self-preservation. Those are our Scheme of Arrangement earlier. It has not been implemented, extending maturities on February and April 2023 notes to October and December 2023. At the same time, 2023 notes, we're also able to exercise a good option at 102% for the principal amount. Holders of $459 million, paid to the amount of 2023 levels exercised put option, resulting in cash outflow of $470 million, including accrued interest.
 Moving now to Slide 29. I'll talk about our debt and liquidity positions in more detail. Our group debt, including leases, stands at $5.7 billion, with a total cash position of $3 billion as mentioned earlier. $3 billion, as already mentioned, $2.5 billion is held at headquarter level. Net debt currently totals $1.9 billion, excluding leases, $800 million in capitalized leases.
 Slide 30 provides a snapshot of the debt and liquidity profile of our held-for-sale Russian operations. At the end of the quarter, gross debt stood at $4.4 billion, with net debt totaling $2.5 billion. We have been informed that PJSC VimpelCom independently acquired $1.6 billion of VEON Holdings' notes as of March 31, 2023, and that the company, funded this purchase primarily by issuing new ruble-denominated notes at a longer maturity. As previously noted, the share of share of Russia is expected to be concluded as an enterprise revenue of around $5 billion.
 Turning now to Slide 31, which outlines VEON's debt maturity schedule. First, let me again note our total cash position on the far left of the slide totaling just over $3 billion. As the chart illustrates, we have taken steps to create a more favorable debt maturity schedule, including through the Scheme of Arrangement and the ongoing sale of our Russian business, which are discussed in previous slides. VEON has a little over $1 billion of debt maturing in the next 12 months. In addition to this, there is $1.1 billion outstanding under the RCF, which can be rolled over until final maturities in 2024 and 2025. As mentioned earlier, in April 2023, holders of $459 million of 2023 notes exercised the put, resulting in total cash outflow of $470 million. I'd also note that we continue to meet all our legal obligations for all interest and principal payments due on our debt in a timely manner.
 On Slide 32, I'll outline some of the changes to our cost of debt and average debt maturity. Several factors have contributed to an increase in our cost of borrowing versus the fourth quarter of 2023, including higher interest rates, specifically affecting our Pakistani rupee debt as well as the reclassification of VEON Holdings bonds purchased by VimpelCom in Russia as intercompany debt. The ongoing process of selling our Russian assets and the reclassification of these assets as held for sale has led to a lower average debt maturity, which now stands at 2.9, excluding the RCF.
 I will now hand back over to Kaan for our 2023 guidance and closing remarks. 
Muhterem Terzioglu: Thank you, Joop. Let me begin by reiterating our guidance for 2023. Our 2023 outlook remains in line with the guidance issued in our last results announcement. Local currency guidance for both revenue and EBITDA is 10% to 14%, with our guidance for group CapEx intensity also remaining in the 18% to 20% range. I have already shared with you the run rate momentum of EBITDA in April '23 circa 20%. Let me caution you that in Q2, you will see a low single-digit growth in EBITDA due to the impact of one-off in 2023 Q2 results. This still does not change our reiteration of the guidance. That concludes our presentation, we provide an overview of our key ambitions for '23.
 First of all, finalizing the sale of our Russian asset is priority #1, and the team is working diligently to achieve this. Two, the Scheme of Arrangement for February and April 2023 notes has already been implemented, and we have also seen a marked reduction in group leverage. We will continue to focus on optimizing our capital structure, effective cash management and regaining access to the debt capital markets over time. Three, we are focused on executing our 4G for all and Digital Operator strategy, expanding our 4G network and portfolio of digital services and providing best-in-class customer experience. Implementing this strategy will help us accelerate growth by increasing our multiplay users, who use more data, the churn rates are lower and they generate higher average revenue per user.
 The work on monetizing our existing infrastructure assets, specifically our tower assets, is also progressing. This will allow us to further strengthen our balance sheet and unlock capital to focus on our vision of providing best-in-class online services across our 6 markets as an asset-light operator. Finally, we are committed to unlocking shareholder value. This will include our plans for listing of our entities locally when the right investment climate is available.
 Let me once again express my gratitude to all VEON employees for their hard work driving VEON forward. Joop joins me on today's call for the first time as our group Chief Financial Officer. So let me also welcome him once again. And thank you, Serkan, for all the contributions you have made to VEON, and I wish you all the best in your new capacity as a consultant to me and to Joop.
 With that, I would like to thank you for your attention. I will hand over to Nik so that we can move on to the Q&A session. 
Nik Kershaw: Thanks very much, Kaan. Good afternoon, everyone, again. I think we've got a few questions that have already come through on the Zoom link. Kaan, the first question is for you. Could you please update us on the timing of the closing of the Russia sale? 
Muhterem Terzioglu: Thank you, Nik. In line with our previous communications, the company anticipates that the transaction will be completed in accordance with terms of the share purchase agreement. As I have mentioned earlier, we have completed the scheme amendments. That gives us actually ample time to close this deal in accordance with the rules and the regulations that are set forward, and we will do that as early as possible over the next couple of months. 
Nik Kershaw: Thanks so much, Kaan. You have a couple of questions for you. Firstly, how is the Russia sale impacting on VEON's financials? 
Joop Brakenhoff: As we have previously disclosed, the position is being concluded as an enterprise value of $5 billion. As of the end of March 3, 2023, we already saw a significant reduction in consolidated gross debt from $7.5 billion at the end of 2022 to $5.7 billion at the end of Q1 2023. We also reported group gearing of 1.6x, down from 2.6x at year end. So as we conclude the balance of the transaction, this will have a further positive impact on both debt and gearing levels. 
Nik Kershaw: Thanks, Joop. So actually another question for you. Could you comment a little bit on the ongoing cost-saving initiatives that we have at the group. 
Joop Brakenhoff: Yes. We remain focused on effective management, of course, both at headquarters and in our operating coverage in the countries. Understandably in the past, we faced a number of extraordinary costs at the HQ level, but these are expected to reduce, both in this year and in 2024. But we ultimately delivered $95 million in savings in 2022. And excluding Russia, closing '21 as a base, we expect to deliver on the $75 million in savings by the end of 2024. I also mentioned the smaller size of the new team, and we are undertaking a rightsizing of our headquarters. 
Nik Kershaw: Thanks, Joop. Kaan, could you maybe comment, I know there was a recent shareholder letter that was presented that we on board that was made public as well? 
Muhterem Terzioglu: So first of all, I would like to thank Shah Capital for increasing their holding in our company above 5%. And the company to that disclosure, they also share a letter, clearly reiterating their expectations. I value and I welcome all these comments, and I can commit that we'll be looking for creating shareholder value, considering all possible opportunities, including the ones that he has suggested when the right climate arrives. 
Nik Kershaw: Thanks, Kaan. And again, this is an update on the status of our card transactions. 
Joop Brakenhoff: Eliminate that as well. We are committed to being an asset-light company. I believe that no telecom operator in the world can afford the luxury of having exclusive infrastructure. Therefore, we are looking for not only tower asset sales, but also sharing of the infrastructure and all the operations that we are engaged in. The tower sales are complex transactions, naturally, impacted by the overall macroeconomic environment as well. We are committed, we are progressing, and we will deliver on that promise over the next couple of quarters. 
Nik Kershaw: Thank you. Joop, back to you. Could you maybe update us on the timing of the filing of our financials, please? 
Joop Brakenhoff: Yes, at this point in time, and again, based on the current circumstances. Our best estimate is to file our quarterly financial statements to the AFM and provide this to our lenders before the end of June 2023, our newest filings, that's our annual report on the Form 20-F in July with the SEC. Both VEON Limited and Holdings are beginning to submit financial statements to its lenders on both holders within 180 days of the year-end, which is June 29.
 We have the right to be informed, the AFM and Euronext of this and are working closely within our chain of execution of the other procedures. We won't do the AFM refolm or any significant changes in the expected guidelines. And we informed the SEC for the expected delay in our 12b-25 filing with the SEC on May 2 of this year. 
Nik Kershaw: Thanks, Joop. Also still with you, could you update us on our capital structure plans for the medium term. 
Joop Brakenhoff: Yes. As discussed previously, our recent priority has been to ensure the group has a strong liquidity position. You have seen our cash balances at head quarters at an amount of $2.5 billion, which earlier already mentioned at quarter end and approximately $2 billion today following the conclusion of the put option in April. We're currently actively evaluating various options around the appropriate capital structure for the group post the conclusion of the Russian sale. 
Nik Kershaw: Thank you. Kaan, maybe just could you give some comments on the current operating environment in Pakistan. 
Muhterem Terzioglu: Pakistan is an amazing market. We are extremely proud to be serving to the Pakistani community as the #1 operator in the country. Pakistan has also gone through some difficult times this year. As you know, the country was heavily hit by the floods, which has never been experienced in the recorded history. And it is also severely impacted by macroeconomic crisis and current account deficit. We believe Pakistan will overcome these issues. But in the short term, the impact of import limitations is, of course, hang-over to -- on the entire industry in terms of slowing down investments.
 I am happy to see that we continue to gain market share in the country. We are progressing very strongly in the adjacent markets, especially on entertainment as well as financial services, and we are growing high teens in this market in order to be able to catch up with the higher levels -- heightened levels of inflation. It is a tough macroeconomic situation, but I think we are doing our best to make sure that we continue serving our customers the best way possible. 
Nik Kershaw: Thanks, Kaan. Also Kaan, still with you, there was a story on Interfax earlier this week about the sale of Kazakhstan. Maybe just update people on what the status is there. 
Muhterem Terzioglu: Look, maybe I can use this opportunity to clearly state that all our operating companies, Kazakhstan, Uzbekistan and Kyrgyzstan are directly owned by VEON Holdings in Holland, and there are no entanglement of the subsidiaries into our Russian on held-for-sale operation. 
Nik Kershaw: Great. I think we have time for one last question, maybe an appropriate question. Kaan, can you just sort of comment again on the guidance, particularly given the strong start we've already seen this year. 
Muhterem Terzioglu: Yes, the first quarter actually was slightly above the guidance that we have provided. We said 10% to 14%, we delivered to 11% to 15%. And actually, April results are also very encouraging. But the time has taught me to be prudent, so we are keeping our guidance for '23 as we have expressed before. 
Nik Kershaw: Great. Thanks very much. Thank you very much, everyone, for attending. I know there's a few more questions that have come through on Zoom. I will respond to those individually. So thank you very much for that. And if you have any additional questions, please just reach out to me directly. Thanks very much, everyone. 
Muhterem Terzioglu: Thank you. 
Joop Brakenhoff: Thank you.